Analysts : John Godin - Lake Street Capital David Koning - Robert W. Baird Omar Samalot - Private Investor
Operator: Good afternoon, everyone, and thank you for participating in today's conference call to discuss StarTek's Financial Results for the Third Quarter ended September 30, 2017. Joining us today is StarTek's President and CEO, Chad Carlson; and the Company's CFO, Don Norsworthy. Following their remarks, we'll open the call for your questions. Before we continue, we would like to remind all participants that the discussion today may contain certain statements that are forward-looking in nature pursuant to the Safe Harbor provisions of the federal securities laws. These statements are subject to various risks and uncertainties, and actual results may vary materially differ from these projections. StarTek advises all those listening to this call to review the 2016 Form 10-K posted on their website for a summary of these risks and uncertainties. StarTek does not undertake the responsibility to update these projections. Further, the discussion may include some non-GAAP measures in accordance with Regulation G; the Company has reconciled these accounts back to the closest GAAP-based measurements. The reconciliations can be found in the earnings release on the Investor page of their website. I would now like to remind everyone that the webcast replay of today's call will be available via the Investors section of the company's website at www.startek.com. Now I would like to turn the call over to StarTek's President and CEO, Chad Carlson. Sir, please proceed.
Chad Carlson: Thank you, Amanda. And thank you all for joining. Earlier today, we issued a press release announcing StarTek's financial results for the third quarter ended September 30, 2017. As discussed on our last quarterly conference call, we made the decision to accelerate our high-grading efforts in Q3 and removed approximately $10 million of lower than acceptable margin business during the quarter. This was a difficult decision to make. We are obviously in this business to grow, not replace revenue. However, we believe strongly that this was the right decision to ensure proper return on invested capital for shareholders and to further enable StarTek to achieve sustainable profitability. This decision was made possible by strong bookings and an increasing pipeline of new opportunities. Unfortunately, there is a gap over a couple of quarters to work through these transitions and replace lower margin revenues with higher margin revenues. The process of transitioning revenues is difficult work and impacted results during the quarter with a temporary decline in production billings while we continue to incur site fixed costs and variable cost related to these efforts. The new business and the locations involved should be fully ramped by early 2018 at which point we expect to realize the revenue and margin improvements. A high-grading initiative that began nearly two years ago is almost complete. All said, by the end of year, we will have replaced approximately $86 million of planned annualized revenue throughout this period. Our pipeline of new business opportunities continues to grow to the highest levels yet, and our bookings for 2017 are already well over plan. In fact, we booked more than $11 million in new business in the third quarter bringing our year-to-date total bookings to $104 million of annual contract value. We are currently on track to have approximately 70% of this annual contract value ramped by year end. We will continue to leverage these opportunities to further diversify StarTek's revenues. It's worth noting that our pipeline reflects increased momentum in healthcare and e-commerce retail business and includes many new logos throughout all of our different industry verticals, specifically relating to healthcare which is a priority for us. Earlier in the year, I challenged the team to a stretched goal of exiting 2017 with $50 million of annualized healthcare revenue in hand, and we are very close to achieving this target. This will be an exceptional achievement for the team as we've effectively taken our healthcare business from zero to approximately $50 million annual run rate in roughly three years and plan to continue this growth trajectory. So we have many reasons to be optimistic for 2018 and beyond. We've also been working through some other adversities. Last quarter, I mentioned agreeing to shift revenue from one client to offshore to onshore. While we are still working through this transition and its impacts, partnering with this client and accommodating their needs has positioned us for more opportunities with them into the future. We do not expect to lose any revenues from this transition long term. We also spoke last quarter about the potential benefit to our revenues in the third and fourth quarter resulting from any spike in call volumes associated with iPhone launches. Unfortunately, the iPhone 8 has reportedly experienced soft demand. So we have yet to see the volumes that we had anticipated from wireless clients and don't expect to see much of a benefit in the fourth quarter. The delays on iPhone X will likely push its associated call volumes into 2018. From a balance sheet perspective, we’ve continued to reduce leverage during the quarter, paying down debt by more than $1.5 million to $17.4 million. Despite the challenges to revenue and margins this quarter, we were pleased to maintain our recent track record of generating free cash flow and paying down debt. In summary, we will continue to focus on key initiatives to enhance growth and profitability. We will maintain tight G&A management and improve capacity utilization by continuing to win and ramp new business. Business development efforts will continue to focus on customer centric clients who value the StarTek Advantage system which provides a differentiated customer engagement methodology guided by insights and analytics. We believe our execution of these initiatives has and will continue to position StarTek for success. As we exit the year and complete our high-grading initiative, we expect to realize the meaningful financial benefits of that process in 2018. I have stated an objective for StarTek is to achieve double digit top line growth and 25% adjusted EBITDA growth. I stated that if not at those levels you could assume that we will be addressing the challenges and making necessary changes. We are obviously not at those goals yet and we certainly do not like the business of replacing revenue. However, I do believe the high-grading initiative was an important step to achieve acceptable levels of profitability. The strength of our pipeline and differentiation to the StarTek Advantage system powered by the science of ideal dialogue provides us with confidence these goals are achievable. Amanda, John and I will now open for questions.
Operator: [Operator Instructions] And our first question comes from the line of Mark Argento of Lake Street Capital. Your line is open
John Godin: Hey, guys. This is John on for Mark. Thank you for taking the questions. I just wanted to clarify -- I know last quarter you stated that your goal was to replace about $86 million of revenue. Would it be safe to say that you are finished now with that high-grading replacement or is there a little bit more to go in Q4? Thank you.
Chad Carlson: We will be done at the end of Q4.
John Godin: The end of Q4. Okay. And then just kind of going over -- just some of the areas you mentioned where you are seeing strength in healthcare. Can you talk a little bit more about what's driving that strength in particular? Thank you.
Chad Carlson: Execution on the business that we have, one differentiation with our service offering of ideal dialogue is really resonating with the clients in that space who are under continued pressures to compete and offer stronger customer experience within their engagements, and I think our approach and certainly the investments we've made in our business development team focused on healthcare where we've added a few resources has all added to that momentum that we are seeing.
John Godin: Any other verticals that you are kind of paying special attention to or focusing on?
Chad Carlson: Yes. I mentioned e-commerce is part of our pipeline. We've seen a lot of traction with our customer experience focus, leveraging our unique customer engagement methodology with ideal dialogue has been recognized by Frost & Sullivan and others as an innovative approach in our industry. We are seeing a lot of traction in e-commerce as well in retail.
Operator: Thank you. Our next question is from a line of David Koning of Baird. Your line is open.
David Koning: Yes, hey, guys. Thanks for taking my call. Yes and so I guess first of all just I guess a follow up on last question. The high-grading effort you talked about the replacement and everything by the end of Q4. Does that mean sort of the replacement meaning Q4 will still be down, there’s still some revenue to go away from that effort and then as we enter 2018 you start to get some of the higher margin replacement stuff coming on?
Chad Carlson: Yes, it's kind of an all-in process, Dave, so there is a mixture as we are coming through fourth quarter and in throughout the quarter continuing to improve obviously from a month over month perspective, but still some of that transition working through the system in fourth quarter.
David Koning: Okay. In kind of the long term targets of double digit revenue and 25% EBITDA margin growth, this year is obviously difficult with the movements, but in next year I would imagine it's a little tough with the revenue side of it given kind of the entry point into 2018, but the EBITDA margin target for next year at least seems like it could be possible just if you are getting rid of lower margin and better margin stuff is coming on.
Chad Carlson: Yes. Profitability, the profitability part of that goal has always been our priority, and I think that will play out in achievement of that goal as well. So I think you are reading that right, Dave.
David Koning: Okay, okay, good, and then did you have -- are you seeing a little of the same? I mean it sounds like the iPhone launch not quite playing out as you expected but are you seeing the same difficulty on the AT&T volumes? I think some of your bigger competitors have mentioned as well.
Chad Carlson: Yes. That's one of our disclosed clients I believe so you will see softness in AT&T revenues for sure.
Operator: And our next question comes from the line of Omar Samalot, a Private Investor. Your line is open.
Omar Samalot: Hi, guys. How are you? So obviously revenue high-grading efforts resulted and that year-over-year revenue contraction for the quarter. Do you think that you'll be able to get back on track in terms of year-over-year revenue growth come Q4?
Chad Carlson: Yes. It's a little close from a guidance perspective but we are still working through the transition, Omar.
Omar Samalot: Okay, sounds good. In terms of that $86 million in annual revenue that you are -- you hope to have replaced by year end, can you give us an idea of the magnitude of the gross margin improvement that you expect from this high-grading effort?
Chad Carlson: I'll say that the revenue that we are replacing it with should be within our threshold gross margin targets.
Omar Samalot: Okay. But you cannot give us a little more of what type of improvement you could --we should expect and when we could see some of that improvement show in the results.
Chad Carlson: I think I said in my script, you will begin to see the improvements in those -- in that effort certainly in the next year. If I were to say what improvement was client by client, everything it's just -- it's a number that's difficult to articulate and not further complicate the issue.
Omar Samalot: I get it, I get it. We are just --obviously we are anxious to see the work that you've done in terms of replacing all of this revenue. And is it worth the while of going through it? Obviously, I am sure it is, but just kind of wanted to get an idea. But I understand.
Chad Carlson: Yes. Unfortunately I think your article is apropos, short-term pain long-term gain.
Omar Samalot: Thank you, okay. With all the new business that you are bringing online, do you feel like you are hitting your ramp targets overall?
Chad Carlson: We've seen a couple of our ramps a little behind schedule depending on site location and working through some of those challenges. We have had a couple ramps delayed by clients, but still confident that those ramps are going to come through close discussions with the couple of those clients. But all in all, I mean we are definitely in ramp mode, so.
Omar Samalot: Okay. Any updates on your expansion plans. I noticed that few days ago an article mentioning a new facility in San Antonio to serve hurricane relief government contracts. I was pretty impressed to learn that within 30 to 45 days, you guys had found a location, had it set up and hired over 200 agents. That was pretty impressive. I was wondering if you could share a little bit more on those expansion plans and are you expecting this to be temporary site or more of a permanent.
Chad Carlson: Yes temporary site and I didn't really mention any of that within our information. It's really entrée into that type of work for us, and there’s some learnings that we have to go through and it's a little bit unknown as to how quick we can get that up and into billable process and working with the government. We are kind of new to the game there, but obviously very intriguing and excited to have our first entrée into government work, and we'll have to see how that plays out and we are seeing it as temporary right now, but certainly working to try to try to turn that into permanent opportunities.
Omar Samalot: Okay, very good, all right. I noticed that the nearshore revenue was --
Chad Carlson: I will say that our IT team has set a new standard because once we got the address, I think we are ready to go in two weeks, and I’d let them know that's our new standard for how quick we can launch new sites, so.
Omar Samalot: Careful what you wish for. Okay, nearshore revenue was a bit lower than what I had expected. As I assumed that the high-grading effort wouldn't impact that segment that much. Maybe you could share a little color there and if that also impacted the margin that we saw.
Chad Carlson: Nearshore wasn't affected by any high-grading efforts. So that was really just shifts going on with some of our existing clients but nothing to cause alarm there. We still have very strong demand for the capacity plans that we have nearshore and that's really just some lumpiness of the business taking place.
Omar Samalot: Okay, all right. And finally I imagine that obviously the growth profit for the quarter was must have been impacted by a significant amount in terms of growth investment expenses as you ramp all of these new businesses. Is that a fair assumption?
Chad Carlson: Yes.
Omar Samalot: Yes, okay. And even though it was a tough quarter obviously I was impressed to see that you still were able to lower your debt. I am assuming that as things pick up for the Q4 does not necessarily what we are going to see.
Don Norsworthy: When we look at what we anticipate from CapEx and what we are going to invest in AR, that's going to be a difficult goal to achieve in fourth quarter.
Omar Samalot: Obviously, okay, all right. Well, guys thank you very much and keep moving forward. It looks good.
Operator: Thank you. And at this time, this concludes the question-and-answer session. I'll like to turn the call back over to Mr. Carlson. Mr. Carlson, please proceed.
Chad Carlson: Well we thank you and appreciate everyone's interest. And we'll get back to work. We'll talk to you next time. Thank you.
Operator: Thank you, ladies and gentlemen. You may now disconnect.